Operator: Good day, and welcome to the Industrial Logistics Properties Trust First Quarter 2024 Earnings Conference Call. [Operator Instructions]
 This event is being recorded. I would now like to turn the conference over to Kevin Brady, Director of Investor Relations. Please go ahead. 
Kevin Brady: Thanks, Cindy. Good morning. Joining me on today's call are Yael Duffy, President and Chief Operating Officer; and Tiffany Sy, Chief Financial Officer and Treasurer.
 Today's call includes a presentation by management followed by a question-and-answer session with analysts. Please note that the recording and retransmission of today's conference call is prohibited without the prior written consent of the company.
 Also, please note that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on ILPT's beliefs and expectations as of today, May 1, 2024, and actual results may differ materially from those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call.
 Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission or SEC, which can be accessed from our website, ilptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements.
 In addition, we will be discussing non-GAAP financial numbers during this call, including normalized funds from operations or normalized FFO, adjusted EBITDAre and cash basis net operating income or cash basis NOI. A reconciliation of these non-GAAP figures to net income is available in our earnings presentation, which can be found on our website. 
 With that, I will turn the call over to Yael. 
Yael Duffy: Thank you, Kevin, and good morning. On today's call, I will review ILPT's operating and leasing performance, and then turn the call over to Tiffany to provide an update on our financial results.
 We started the year with continued demand for our high-quality portfolio, consistent with the trends we saw throughout 2023. Supported by higher rental income, same-property cash basis NOI grew by 2.3% compared to the same period last year. Notably, normalized FFO increased 19% and 17% on a year-over-year and sequential quarter basis, respectively.
 We executed new and renewal leases for nearly 2 million square feet and total occupancy reached 99%. As of March 31, 2024, ILPT's portfolio consisted of 411 warehouse and distribution properties in 39 states, totaling approximately 60 million square feet, which includes 16.7 million square feet of industrial land and properties in Hawaii.
 ILPT's portfolio has a weighted average remaining lease term of 8 years anchored by tenants with strong business profiles and stable cash flows.
 ILPT's top 10 tenants account for nearly half of our total annualized rental revenues and 77% of our revenues come from investment-grade rated tenants or from our secure Hawaii land leases.
 During the first quarter, we entered 10 new and renewal leases and 1 rent reset for approximately 2 million square feet at a weighted average lease term of 6 years. This activity resulted in GAAP and cash leasing spreads of 38.3% and 25%, respectively, and reflects the strongest roll-up in rents over the last 6 quarters. The impact of this activity is an increase of $3.5 million in annualized rental revenue, of which 86% will be realized in 2024. These results continue to showcase our ability to generate organic cash flow growth while maintaining portfolio stability.
 Renewals drove 90% of our leasing activity this quarter, which highlights the continued demand for ILPT's assets and strong tenant retention, which was 94% this quarter. Included in these results is a 5-year renewal with Exel, a subsidiary of DHL for 945,000 square feet in Rock Hill, South Carolina at a 73% roll-up in GAAP rents. This represents an increase of $2.2 million in annualized rent that will go into effect in July of 2024. Looking ahead, 8.4 million square feet or 10.6% of ILPT's annualized revenue is scheduled to roll by the end of 2025.
 We are currently tracking 41 deals in our pipeline for more than 7.5 million square feet. Once executed, we expect these leases will yield average roll-ups in rent of 20% on the mainland and 30% in Hawaii, further illustrating the strength of our portfolio. 
 Included in our pipeline are proposals out to multiple users for the 2.2 million square foot land parcel in Hawaii that became available on April 1. While we do not yet have a replacement tenant, interest has been strong and we hope to update you on our progress on future calls.
 Before I turn the call over to Tiffany, I wanted to make you aware of the recent publication of The RMR Group's Annual Sustainability Report. The report highlights insights, accomplishments and data regarding our managers' commitment to long-term ESG goals. We are proud of the progress made to strengthen ILPT's sustainability practices and enhance our ESG transparency and disclosure. You can find links to the complete report as well as an ILPT specific tear sheet on our website at ilptreit.com.
 Tiffany? 
Tiffany Sy: Thank you, Yael. Good morning, everyone. Before I cover our first quarter results, I would like to highlight recent financing activities related to our consolidated joint venture, Mountain JV. In March, Mountain JV exercised its first of 3, 1-year options to extend the maturity date of its $1.4 billion floating rate loan. As part of that extension, the JV purchased a 1-year interest rate cap with a SOFR strike rate of 3.04% for $26.2 million, slightly higher than our February guidance of $25 million.
 Now turning to our first quarter results. Normalized FFO of $9.5 million or $0.14 per share increased 19.4% compared to the same quarter a year ago, and 16.9% on a sequential quarter basis. Adjusted EBITDAre of $84.4 million increased 4.6% and 1.6% compared to the same quarter a year ago and on a sequential quarter basis. GAAP and cash basis NOI of $86.1 million and $82.2 million also increased on a year-over-year and sequential quarter basis. The improvement in each of these metrics reflects an increase in rental income driven by our strong leasing activities across the portfolio.
 Interest expense of $73.2 million increased 3.5% compared to the same period a year ago and increased slightly on a sequential quarter basis. We estimate our second quarter interest expense to increase slightly with $58 million of cash interest expense, including the benefit of the cash received from our interest rate cap, and $15.5 million of noncash amortization of financing and interest rate cap costs.
 Turning to our balance sheet. As of March 31, our net debt to total assets ratio was 68.6%, an improvement of 110 basis points compared to the same period a year ago. The first quarter net debt coverage ratio of 12.1x declined 70 basis points on a year-over-year basis, reflecting higher adjusted EBITDAre and the continued paydown of our amortizing debt.
 All of our debt is currently carried at a fixed rate or fixed through interest rate caps with a total weighted average interest rate of 5.35%. Including extension options, ILPT has no debt maturities until 2027. As of March 31, we had approximately $128 million of cash on hand and $108 million of restricted cash in our consolidated joint venture.
 In closing, ILPT is well positioned to benefit from the demand for its high-quality industrial real estate. The portfolio remains strong, as demonstrated by an occupancy rate of 99%, an investment-grade tenant profile representing 77% of annualized revenue and continued revenue momentum driven by rising rates across the portfolio.
 That concludes our prepared remarks. Operator, please open the line for questions. 
Operator: [Operator Instructions] Our first question comes from Bryan Maher of B. Riley FBR. 
Bryan Maher: Yael and Tiffany, just a couple for me this morning. We were pretty impressed with the rent roll-ups for the quarter. And we're wondering, and I heard your commentary on the expectations for the mainland, I think, 20%, in Hawaii 30%. But are you getting any pushback from any of the tenants? How are those negotiations going? Can you just give us a little bit more color in that regard? 
Yael Duffy: Sure. So our leasing activity has been strong. And as we mentioned, we have seen continued demand. I think for some of the renewals and even some of the new prospects, it's taking a little bit longer for them to transact and just the negotiation process has been longer. But a lot of these leases that are expiring were at a minimum sign 5 years ago, sometimes 10 years ago. So we do expect that we'll still see meaningful roll-ups just because the markets have shifted so significantly since when they signed their original leases. 
Bryan Maher: Okay. And maybe for Tiffany, I know that the cap cost was a little bit higher than you expected in $26 million over $25 million. And I know that October is kind of a lifetime away. But as we sit here today, do you have any thoughts on what that cap might cost when we get to the fall? 
Tiffany Sy: Based on today's forward-looking information, we would expect the cap to cost in the low $30 million for the October cap. 
Bryan Maher: Okay. And you're sitting on a decent amount of cash. I mean is there any expectation to utilize any of that? Or is the goal just to harbor cash to get through these cap costs? 
Yael Duffy: Yes. I think we're planning -- we're not planning to do anything but hold that cash for the time being. As you mentioned, we have caps that we'll need to buy as well as be in a position to address any expansion needs of our tenants. And so we just want to provide ample flexibility for ourselves. 
Bryan Maher: Okay. And just last for me. There's been a couple of articles out there recently on the Inland Empire in California, some weakness there. I know that you don't have anything in California, but are you seeing any markets where you do operate where there's been some softening in demand? 
Yael Duffy: No. I think there's been some new product coming online. I think coming out of COVID, I think there was some projects that were delayed and are just starting to deliver. And so we are seeing some new product and competition potentially, specifically, I guess, in one market, I would say is the Indianapolis area.
 But I think as tenants evaluate the costs associated with relocating and the disruption to their business, we have been seeing them continue to be interested in renewing versus relocate. But I think -- we do think this might be a short-term blip in the supply, given where interest rates are now. We haven't been seeing too many new projects coming out of the ground. 
Operator: [Operator Instructions] Our next question comes from Mitch Germain of Citizens JMP. 
Mitch Germain: Congrats on the quarter. I just wanted to make sure, I think you recognized some percentage rent, I believe, from some of your Hawaii tenants in the first quarter. Should we -- is there any sort of kind of fluctuation we should consider in our model when it comes from 1Q to 2Q? Or is this kind of upside that was realized this quarter? It was clean and it should flow through for the rest of the year? 
Tiffany Sy: You're right. We did have some percentage of rent that was recognized during the quarter, but that was offset in some other onetime noise. So they kind of canceled each other out. So we feel like this is a good run rate currently. 
Mitch Germain: Great. Tiffany, while I have you, I just couldn't hear specifically what you were discussing when it came to interest expense. I recognize you've got the big refi and the hedge that you purchased. Can you just go over what your prepared comments were with regards to how we should think about forecasting interest expense in 2Q? I know you've got some amortization that flows through, correct? 
Tiffany Sy: Yes, that's right. So apologies for not being able to hear me. So we expect $58 million of cash interest expense, that includes the cash that we would receive related to our cap. And then $15.5 million of noncash amortization of both deferred financing costs and also amortization of cap costs. 
Mitch Germain: Great. That's super helpful. Yael, when you're talking about your deal pipeline, I think you referenced it was over 7 million square feet, 7.5 million. So does that -- I think you said there were multiple offers out for the Home Depot space. So that -- should we consider like 4 million plus of that 7.5 million is just on that one space? Or is it -- okay, how should I think about that? 
Yael Duffy: No, no. Yes. So the 7.5 million less the 2.2 million ones. Even if we have multiple prospects, we only count it once in our pipeline. Yes, sorry, go ahead. 
Mitch Germain: No, no, no. So I was curious like, I'm sure you track this quarter-over-quarter, like how do you look at kind of your success rate? So you've been kind enough to provide this pipeline for a while now. I'm curious in terms of kind of how should we think about the percentage of this pipeline actually kind of being finalized to an actual lease? 
Yael Duffy: Yes. So it's a good -- we usually do talk about what's an advanced stage of the negotiation. So I would -- for new deals, we have about, I think, about 10% in advanced stages of negotiation. And then on the renewal side, it is closer to 30% in advanced stages. 
Mitch Germain: That's super helpful. 
Yael Duffy: Yes, which means it's either an LOI or we're in final form of a lease document is how we classify. Yes. 
Mitch Germain: Great. And then I think you guys have done a great job in terms of transparency towards the Home Depot space. But I looked, I couldn't see anything in my notes. Is there anything that should be pointed out when you look at your expiration schedule for the back part or the next 3 quarters or maybe even next year that we should be aware of? Maybe like a known move out or some sort of onetime circumstance that should be pointed out? 
Yael Duffy: Yes. So besides the Hawaii land parcel that we've talked about, there is one other property that's about 600,000 square feet in Indianapolis that we expect to get back at the end of June. So those are the 2 major known vacates. And besides that, we're feeling pretty good. There's always some ins and outs in Hawaii, but usually, those get released pretty quickly. 
Mitch Germain: Yes. You had referenced that one last quarter as well. So I was -- I think it was more than that, anything other than that one. But that's super helpful. 
Operator: Okay. I have the next question again from Bryan Maher of B. Riley FBR. 
Bryan Maher: Just following up on Mitch's question on that 600,000 square feet in Indianapolis. Do you guys have leads for that property currently? Is that out in the market? What are your expectations that, that could go dark and for how long? 
Yael Duffy: So we have been marketing it for a while now. We have had some proposals, but nothing that's far enough advanced to be excited about. I would assume that it might be vacant for maybe up to a year. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Yael Duffy, President and Chief Operating Officer, for any closing remarks. 
Yael Duffy: Thanks for joining us today and your continued interest in ILPT. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.